Operator: Good afternoon, and thank you for attending the Alta Equipment Group Fourth Quarter and Full Year 2022 Earnings Conference Call. My name is Jason, and I’ll be your moderator for today's call. I will now turn the conference over to Jason Dammeyer with the Director of SEC Reporting and Technical Accounting with Alta Equipment Group.
Jason Dammeyer: Thank you, Jason. Good afternoon, everyone, and thank you for joining us today. A press release detailing Alta's fourth quarter and full year 2022 financial results was issued this afternoon and is posted on our website, along with the presentation designed to assist you in understanding the company's results. On the call with me today are Ryan Greenawalt, our Chairman and CEO; and Tony Colucci, our Chief Financial Officer. For today's call, management will first provide a review of the fourth quarter and full year financial results. We will begin with some prepared remarks before we open the call for your questions. Before we get started, I'd like to remind everyone that this conference call may contain certain forward-looking statements, including statements about future financial results, our business strategy and financial outlook, achievements of the company and other non-historical statements as described in our press release. These forward-looking statements are subject to both known and unknown risks, uncertainties and assumptions, including those related to Alta’s growth, market opportunities and general economic and business conditions. We have based these forward-looking statements largely on our current expectations and projections about future events and financial trends that we believe may affect our business, financial condition and results of operations. Although, we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that occur after this call. Descriptions of these and other risks that could cause actual results to differ materially from these forward-looking statements are discussed in our reports filed with the SEC, including our press release that was issued today. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's press release and can be found on our website at investors.altaequipment.com. I will now turn the call over to Ryan.
Ryan Greenawalt: Thank you, Jason. Good afternoon, everyone, and thank you for joining us today. Our strong fourth quarter capped off an outstanding year for Alta. First, I'll discuss our full year 2022 financial highlights, the continued strength in our business and the demand in our end user markets. Next, I will provide an update regarding the solid execution upon our growth strategy, including our recent acquisition of Ecoverse, as well as our expectations for continued M&A activity in 2023. Tony will then provide a more in-depth review of our fourth quarter and full year financial results. But before I get into our highlights for the year, I want to recognize our employees because without their hard work and dedication, our strong performance would not be possible. We believe our performance for the year demonstrates the strength and resiliency of our business and successful growth strategy. Despite some economic headwinds, all segments of our business are performing well, and we are achieving significant growth both organically and through our numerous accretive acquisitions. Total revenues for the year increased 29.6% or $359 million, organic revenue for the year increased $194 million or 16.1% over last year, which was driven by a 26.3% increase in new and used equipment sales, a 13.7% increase in our combined parts and service Product Support departments and a 10.3% improvement in rental revenues. On a consolidated basis, we delivered record total revenue of approximately $1.6 billion for 2022. It was a truly phenomenal year for Alta against the backdrop of a rising rate environment and sustained historic supply chain disruptions. We believe that our performance and the progress that we made in 2022 reflects the underlying strength of our business and positions us to drive meaningful scale going forward. As I highlighted earlier, our financial results are visibly benefiting from our accretive acquisitions. On March 1, we closed another acquisition acquiring the assets of M&G Material Handling -- a material, a privately held Yale dealer with exclusive rights in Rhode Island. The addition of M&G gives us exclusive rights to both Hyster and Yale in Rhode Island, further consolidating our dual brand Material Handling strategy. M&G adds another $5.8 million of revenue to our Material Handling segment on an annualized basis. We are also extremely encouraged with opportunities around our last acquisition Ecoverse as the market for environmental processing equipment in the organic sector is poised for explosive growth, driven by both federal and state regulations and an increased understanding of potential environmental impacts with an emphasis on increased recycling and reuse of materials throughout both the US and Canada. And looking at the current M&A landscape, we remain active, and our pipeline remains robust as we expect it to be for the foreseeable future given demographic and strategic reasons for dealer consolidation. We have the firepower and brand awareness to continue to partner with quality companies, and we're confident we will continue to hit our targets as we've done since becoming public a little more than three years ago. Now, for a quick update on the business segments. In the Material Handling segment, supply chain disruptions and labor shortages continue to be demand for more sophisticated cost saving and energy-efficient Material Handling solutions, including warehouse and logistical automation. Alta is well-positioned for this growth opportunity as we have a strong foundation in place with our PeakLogix brand, and we'll continue to look for attractive investment opportunities in this evolving and exciting sector. The Construction Equipment segment is starting to see the benefits from infrastructure and other governmental legislation. Our Florida operations are performing very well, helped in part by the significant growth in non-residential construction projects and significant state spending on highways and other infrastructure. We continue to build our high-margin aftermarket support business, which generates predictable and reoccurring high-margin parts and service revenues. Our e-mobility segment is poised to aid in the move away from combustion engines for transportation, while the transition will take time, it will also bring opportunity. We see parallels to our more mature segments where we offer value-added engineering and integration services alongside the traditional dealership model. In 2022, we invested heavily in talent, and we have a team of seasoned professionals to help our customers navigate the complex and dynamic environment of electrification. We are going to market with an energy agnostic strategy as we believe the modes of electrification will be application dependent as we have learned in our core business. All this momentum has given us the confidence to set an adjusted EBITDA guidance range of $177 million to $185 million, which would be a 14.5% increase at the midpoint year-over-year. Lastly, I'd like to touch on Alta’s corporate culture. As a company, we strive every day to foster a culture of empowerment, accountability and opportunity. In 2022, we unveiled a new corporate purpose, delivering trust that makes a difference. I want to again thank our employees for living out that purpose and delivering trust to our customers, our business partners and our valued shareholders. We believe that a purpose-built organization will be the foundation of our commitment to these key areas; our commitment to environmental sustainability, including a focused strategy to drive customer adoption and commercial viability of various electro mobility solutions; our thoughtful diversity and inclusion policies; the safety of our employees and technicians; and the overall dedicated and inclusive culture that we have created and continue to develop with each day. In closing, we had a great -- we had a great 2022 that sets us up well for 2023 as we look to scale our business, deliver strong financial results and drive long-term shareholder value. Thank you, the Alta team once again for all your hard work in driving a momentous year for the company. I'll now turn it over to Tony.
Tony Colucci: Thanks, Ryan. Good evening, everyone, and thank you for your interest in Alta Equipment Group in our fourth quarter and full year 2022 financial results. We're pleased with our 2022 performance, as we look to continue 2022's momentum forward into 2023. I first want to congratulate my Alta teammates for their hard work and dedication to our company in 2022. Our results are directly correlated to our culture, which is grounded in our guiding principles and all of us focusing on building customers for life, a big thank you to all of Alta's employees. Before I move on to my prepared remarks, I'd like to welcome our new team members in East Providence, Rhode Island from M&G Materials Family, our latest addition to the Alta family. The senior leadership team is committed to carrying on the legacy that the MG team has built, and we look forward to earning your trust. My remarks today will focus on three key areas. First, I'll be presenting our fourth quarter and full year 2022 performance, which exceeded our expectation as the business continues to gain ground year-over-year on several key metrics. Second, I'll comment on how our cash flows in 2022 and along with our prudent M&A strategy, converted into returns on invested capital in 2022. Lastly, I'll provide guidance for 2023 adjusted EBITDA and discuss the elements that underpin the metric. Before I get to my talking points, it should be noted that, I'll be referencing slides from our investor presentation throughout the call today. I'd encourage everyone on today's call to review our presentation in our 10-K which is available on our Investor Relations website at altg.com. For the first portion of my prepared remarks and in line with slides 11 through 15 in the earnings deck, fourth quarter and full year 2022 performance. First, for the quarter, the company recorded revenue of $428.6 million, the highest quarterly sales figure in the company's history. This milestone was driven by an unprecedented $266 million of new used and rental equipment sales and another $162 million in Product Support and Rental revenues. Focusing in on our parts and service business lines for the quarter Construction Products support achieving an increase of $6 million in revenue versus Q4 2021 on an organic basis, representing 13% year-on-year growth, while Material Handling Product Support achieved an increase of $4.6 million in revenue versus Q4 2021 on an organic basis, representing 11% year-on-year growth. From an EBITDA perspective, we realized $42.7 million in adjusted EBITDA for the quarter, up from $36.9 million in the fourth quarter of 2021. Now, turning to our results for the full fiscal year. The company recorded $1.57 billion in revenue in 2022 and we're pacing at over $1.6 billion of revenue on a pro forma basis. For perspective, the $1.6 billion of revenue is nearly two times our 2020 revenue, an impressive figure when we look back on the last three years. Importantly, we've grown our Product Support revenue approximately 70% in that same time period. Additionally, the business continues to scale nicely as we realize operating leverage year-over-year. To highlight the point, in 2020, for every dollar of gross profit generated, we incurred almost $1 of SG&A expense. In 2021, for every dollar of gross profit generated, we incurred $0.91 of SG&A expense. In 2022, we incurred $0.86 for every dollar of gross profit generated. Another way to highlight the point is that we generated an incremental $105 million of gross profit in 2022 versus 2021, and incurred an incremental $77 million of SG&A expense, representing $0.73 of SG&A for every incremental dollar of gross profit generated. This data reflects the company's ability to achieve economies of scale as we grow both organically and through accretive deal making. On the adjusted EBITDA line, the company achieved $158.1 million in 2022, outpacing our expectations and beating our guidance for the year. Importantly, the $158.1 million of adjusted EBITDA converted into approximately $114 million of economic EBIT, our version of unlevered free cash flow for a conversion rate of approximately 71%. Moving on to equity cash flows and also as depicted on slide 14 of our investor deck, on an adjusted pro forma basis, the business is now generating over $70 million in annual levered free cash flow to common equity. In our view, this metric is indicative of economic earnings associated with driving equity value for shareholders. Lastly, as shown on slide 18, I wanted to point out that we've introduced a new metric that we believe is helpful curtain cash flow. Essentially, retained cash flow reflects the cash flow of the business in a steady state, meaning a status where there are no growth investments, M&A or disposals from the rental fleet. The figure is presented net of interest and dividends and effectively represents the cash flow that would be available to service debt principal and/or be allocated to other initiatives. The figure for fiscal year 2022 was $94 million, up approximately $20 million from last year. Next, a quick update on the balance sheet as of year-end. In the fourth quarter, we were able to hold leverage to 3.5 times 2022 adjusted pro forma EBITDA at year-end, which we view as a positive. As investors should keep in mind, we used mainly debt financing for the eco versus transaction in the fourth quarter. Importantly, as we enter 2023, leverage is sitting at 3.3 times 2022 adjusted EBITDA. On the liquidity, as I mentioned, we used our ABL facility to fund the Ecoverse acquisition, which was the primary driver of the reduction of liquidity in the fourth quarter. All told, we ended the year with a comfortable $210 million in available liquidity. Moving on to the second area of my prepared remarks, I'll review how our cash flows and Alta's prudent M&A activity over the years has converted into return on invested capital in 2022. First, at the beginning of 2022, when we first discussed the EBITDA guidance, I also mentioned that we were focusing on driving free cash flow conversion of EBITDA higher, which would be derived from two attributes: one, our organic growth and the operating leverage I mentioned earlier; and two, the cash flow profiles of the M&A transactions completed in 2021, which were accretive to our business. In the end, as expected, we were able to increase economic EBIT to EBITDA conversion from 65% in 2021 to 71% in 2022. Said differently, the cash flow conversion on the incremental $38 million of EBITDA in 2022 was 85% or highly accretive to the 2021 metric. When we observe this increase in capital efficiency year-over-year, it stands that returns on capital, all things equal, should also increase, and they did. Based on management's calculations, 2022's return on invested capital, was approximately 15% for the year and up from 12% in 2021. This return on capital is again a function of two things: prudent use of capital when pricing and executing on our M&A pipeline, and our organic growth and the operating leverage discussed earlier. Finally, for the last part of my prepared remarks, I would like to discuss the 2023 adjusted EBITDA guidance, which was included in today's press release. First, we've again chosen to provide guidance on annual adjusted EBITDA for 2023, as we believe this metric is most indicative of the cash flow generation of the business and is a familiar and comparable metric for investors. Additionally, we believe an annual EBITDA outlook versus quarterly, reflects our long-term approach to decision-making, as well as solve for seasonality and the ebbs and flows in equipment sales month-to-month and quarter-to-quarter, which are both typical of our business and our industry. Second, in terms of the guidance range itself, we expect to report $177 million to $185 million of adjusted EBITDA for the full year 2023, which reflects 14.5% growth at the midpoint. A few observations on the guide. One, we feel good about 2022's performance and believe many of the tailwinds that positively impacted 2022 will continue into next year. Two, and as evidenced by our increasing levels of new equipment inventory, supply chains and our ability to take delivery of new equipment is stabilizing. And to the extent the demand backdrop remains intact, in 2023 we should be able to work down the large equipment sales backlogs that we have been carrying for the past few years. Three, we expect to continue to increase Product Support revenues and technician headcount and expect to hold rental utilization figures at, at least 2022 levels. Lastly, in terms of assumptions on the guide, our bullishness is slightly tempered by two macro factors affecting the landscape. First, we have yet to see equipment sales impacted by the run-up in interest rates this past year. To the extent interest rates rise beyond our customers' comfort level, it could impact equipment sales and our expectations for 2023. To be clear, thus far, our end markets have been very resilient in the face of increasing rates. And since many deliveries anticipated in 2023, our fulfilling backlog we believe to be on solid footing for the foreseeable future. Second, and in line with history, the ever-increasing challenge on attracting and growing our skilled technician base. Certainly, Alta is not alone when navigating the tight labor market, but for us, in the end, our ability to drive organic Product Support revenue is directly correlated to our skilled technician headcount. Having said that, historically, we have an excellent track record of attracting and retaining skilled labor and continue to put important resources towards this effort, as our people are our most valuable assets. In closing, I want to thank all of my teammates at Alta for your commitment to our business and to each other throughout 2022. You truly embodied our guiding principles and our results are reflective of that. To our investors, we appreciate your support and confidence in 2022, and we look forward to continuing on our growth path and driving shareholder value in 2023. Thank you for your time, and I will turn it back over to the operator for Q&A.
Operator: [Operator Instructions] Our first question is from Alex Rygiel with B. Riley. Your line is now open.
Alex Rygiel: Thank you. Good evening, gentlemen, nice quarter.
Ryan Greenawalt: Hey. Alex. Thank you.
Alex Rygiel: A couple of quick questions here, first, little detail here. The service segment gross profit margin increased to 53.4%, up from 52.9% last year. And that's after a few quarters of year-over-year declines. So my question is can you talk about the leverage that's been gained here in the services segment? And can this momentum continue?
Tony Colucci: Yes. Hi. Alex, I appreciate you identifying that. The declines that we've seen have been a function of a few things. One is mix towards maybe some higher -- sorry, lower margin work like warranty. And certainly, we have taken some lumps in warranty over the past year or two as its OEMs maybe tighten up a little bit on reimbursement rates. But the up-tick here -- I don't know that it's indicative of anything other than maybe some alleviation of what we saw historically. If you go back over long periods of time, gross margins in the service department will hang around that mid-50, low-50 range different segments notwithstanding. So I wouldn't necessarily read into that being some sort of harbinger trend upward for the future. I think it's maybe a few ticks up, but more of it kind of coming back into the north.
Alex Rygiel: And then, Ryan, the slide deck includes in my opinion, sort of a lot more commentary and bullets associated with future M&A. So can you talk a little bit about, how the breadth of M&A opportunities has expanded? And maybe even offer us some thoughts on average acquisition size you're looking at today and so on.
Ryan Greenawalt: So Alex, one thing I could say is that the thesis for us going public three years ago was that there was -- we had a tremendous opportunity in front of us and continue the consolidation strategy that we started a decade prior. And we don't see any slowdown in the foreseeable future. The -- it's a very fragmented market on the equipment side. There are a lot of manufacturers all buying per share. Many of them have fragmented networks where they have too many dealers. The dealers are too small, not well enough capitalized. And we're having great conversations with our OEM partners, the existing ones and new ones about opportunities to partner and be a consolidator. So we really -- in terms of average deal size, we're prospecting for the larger ones. We think we have a platform to do larger deals, but that doesn't mean that there aren't great small deals to be tucked in, in our existing footprint. So I would think that the larger deals are going to be expanding our geographic footprint, whereas the smaller ones are going to be tuck-ins that we're trying to build out more infrastructure, we have more product lines in our existing APR. And then, one thing I'll highlight while we're just on the size of the APR, we estimate today that our Material Handling and Construction APR is covering upwards of 25% of the GDP of the country. And when you look at the population stats, it's similar. We've got some of the densest markets not only for industrial equipment and construction equipment, but dense markets for population. And so we think that just bodes very well for our future. We've got a great footprint, and we think that there is a lot more that we can put through it over time. But in terms of like average deal size, I think it's going to be -- there are going to be deals of all flavors. We're going to continue to look for the larger ones, but there'll be small ones along the way as well.
Alex Rygiel: And then lastly, the eMobility opportunity, totally understand it's really kind of in its infancy today. But maybe you could talk about sort of the revenue contribution from that either today or in 2023 and how that could grow over the next couple of years?
Tony Colucci: Alex, what we would say is it's -- in terms of like our guidance and its impact on the guidance, still very immaterial from a -- from a broad perspective. We do expect to be revenue positive this year. And I believe, based on conversations with customers, we have some imminent sales in place as Ryan has referred to historically, is we're finding that the sales process has elongated because of infrastructure issues that customers are running into, but we're helping them solve those things. And so -- in terms of -- we're not going to put a number out there, but it wouldn't be material anyway, but we do expect to sell some electric vehicles this year.
Alex Rygiel: That's great. Good luck.
Ryan Greenawalt: Alex, I would just add that it's our view that -- our view is consistent with research out this week that combustion engines for transportation have peaked. So we think that we're really well poised as an organization to be part of that movement, and it's just going to take time to create all the infrastructure and the ecosystem necessary to make it work.
Alex Rygiel: Thank you
Operator: Our next question is from Matt Summerville with DA Davidson. Your line is now open.
Will Jellison: Hi, Ryan and Tony, this is Will Jellison on for Matt Summerville today.
Ryan Greenawalt: Hey, Will.
Will Jellison: The first question that I was curious about is now with Ecoverse as part of the Alta Equipment family for coming up on four months now. I'm curious as to your initial observations with the business as part of the Alta operation and where those came in relative to expectations that you had prior to closing the deal?
Tony Colucci: I'll speak just from a financial perspective, this is Tony, and then maybe turn it to Ryan for some of the things that we've learned about the market and some of the OEMs. But from a financial perspective, Will, we expect the business to grow. Nothing has changed that way. And what I would say everything as expected from a financial perspective. So, so far, so good. Ryan, go ahead, please.
Ryan Greenawalt: I was just going to add that the model of wholesale distribution and this concept of being a master dealer and partnering with other distributors, we are excited in the early stages here that there will be more products that we can add to that part of the business. So, very excited about the prospects of the sector of the particular environmental, but we think that there are other specialty products that will be served well by that model where a well-capitalized dealer can handle some of the inventory and logistics and then partner with sales organizations as channel partners to get the product out into the marketplace.
Ryan Greenawalt: Maybe one last point there, Will. One thing that is also kind of encouraging is when -- as we announce the deal internally and sales teams get to interact with one another, I think Ecoverse is finding some opportunities in areas that they otherwise wouldn't have been looking, for instance, in our Material Handling segment with some of our industrial customers that have use for their equipment. So all positive so far, I think, with that relationship for that transaction.
Will Jellison: Understood. Okay. And then just the follow-up question is A little bit of a follow-on on what was asked previously, but I'll ask it in sort of a different way. Tony, relating to the improved cash flow conversion of the business, as you cited in your prepared remarks, I'm curious as to how the prospect of an improving cash-generated business changes the way you think about the capital allocation playbook from all options available to you, whether it be continued M&A, which you spoke to, but also common stock dividends and share buybacks as well.
Tony Colucci: Sure, Will. The -- first, I think that the increased conversion -- the increase cash conversion, if you will, on EBITDA is primarily being driven by what we love about our business, which is the dealership model, which is an asset-light way to drive cash flows. And so as we did deals like Ambrose and Ginop in 2021, which were two of the more material deals, which were more asset-light dealerships those help to drive the capital efficiency that we were describing. In terms of the question on the increased cash flows and kind of capital allocation, I would say nothing changes in our view. We still think that the balanced approach is most appropriate here. We believe strongly, as Ryan mentioned, in continuing on the M&A path. There's still, I think, a lot to do there. And so we still feel like that's a primary and appropriate spot for our next dollar of capital. And we also, as we mentioned last summer, felt like the dealership model that investors sort of deserved a bit of a cash return on their investment as well and that was directly correlated to the confidence that we have in our sort of annuitized cash flows and parts and service. And so it's a balanced approach. It's always kind of looking at every one of the data points that are out there, your M&A pipeline, your cash flow, your stock price in terms of the buyback and making the right call. But first and foremost, we think it's still -- the best spot for our money is in the M&A pipeline. 
Will Jellison: Understood. Thank you, both for taking my questions.
Tony Colucci: Thank you, Will.
Operator: Our next question is from Ted Jackson with Northland Securities. Your line is now open. 
Ted Jackson: Thanks very much and congratulations on your quarter.
Ryan Greenawalt: Thank you, Ted.
Ted Jackson: Just a couple of questions, most of the things that have been -- that one to ask have been asked, but just circling back Ecoverse. I had one point you that you all had talked about putting a third kind of category to your revenue breakout, which was going to be distribution which I didn't see anything like that in any of the stuff that was released today. So, as it relates to Ecoverse right now, am I correct to assume that that's part of your Material Handling business in terms of the reporting structure? My first part. And then will there be a time where you actually start providing a view of your distribution business or has the thought process around that changed?
Ryan Greenawalt: No. What I would say is stay tuned because the sales actually of the Distribution segment were immaterial and they're actually in our corporate segment. If you go through the materials, you'll see some revenue in the corporate segment. But given how minuscule they were for this first couple of months, right, we only owned Ecoverse for two months, and it's a seasonal business as well. So, we do expect to report that separately going forward as soon as next quarter. So, stay tuned.
Ted Jackson: Okay. Okay. Good. I just kind of more out of just kind of curiosity, but you shifted the line of credit on your balance sheet have current into long-term liabilities, just kind of more of the rationale to why you did that?
Ryan Greenawalt: Yes. So, Ted, that happened in Q2 of this year, and it was really a function of us kind of reviewing in some of the very nuanced pieces of our credit agreement, which I won't belabor on this call, but -- and if you look at the comp set as well, that line of credit has more long-term attributes, meaning we don't intend to pay off the line within 12 months. So, that's what happened there.
Ted Jackson: I cut a corner and did move it the last time and now I just realized -- and I noticed it again.
Ryan Greenawalt: Always to be -- I was going to say, just to be clear, we've always reported it in our investor presentation as part of total debt.
Ted Jackson: My last question, which is a little -- maybe a little more entertaining is I'm curious if you listen to all the equipment Hyster-Yale being probably the most prominent of them all. But they all talk about improving their margin structure as they go forward because as they push through their backlog that they're able to pass along, they have better pricing. And so I guess my question is, when I look at, say, your Material Handling business and some of the margin business structure in there and I think about some of the comments out of high Hyster-Yale and then more in aggregate, just a similar kind of comments that came on like Deere, Caterpillar, CNH, et cetera. Is there any way that, like as those higher price, better margin products flow through distribution, that they would provide some kind of margin for you, as we kind of get through 2023 into 2024? And they're pushing through their tremendous backlogs and just the price increases that they put in place start going up in the equipment that you're running into your shows?
Ryan Greenawalt: Yes, Ted, I wouldn't expect that to kind of ripple through the supply chain and have any meaningful impact on the margins that we earn on new equipment, for instance. We have typically -- we've had a bump the last couple of years because we've had pricing power. I think the whole market including our competitors have had pricing power just because of the dearth of supply. But some of the OEMs saying that they're planning on increased margins. I wouldn't expect that to be anything meaningful for us going forward.
Ted Jackson: Okay. That's it for me. I will step back in line. Thanks very much.
Ryan Greenawalt: Thanks, Ted.
Operator: Our next question is from Bryan Fast with Raymond James. Your line is now open.
Bryan Fast: Yes. Good afternoon, guys.
Ryan Greenawalt: Hey, Bryan.
Bryan Fast: You singled out some pretty strong organic growth rates in both Construction and Material Handling. Could you provide maybe some color just on how that balances between price versus volume?
Ryan Greenawalt: Yes, good question, Brian something that we try to drill into just when we look at internal KPIs. And I guess what we have kind of landed on here. We're always focused on parts and service to the previous point. And what we have increased, so it's price and quantity. We have increased quantity of technicians on an organic basis year-over-year. And so some of that lift would be if we said, hey, we grew service -- parts and service at an average of 13%, I would almost split it in half that, half of that increase was coming from increasing labor rates and being able to kind of pass that along to customers. And then the second piece probably is the queue where we're driving head count and selling more parts.
Bryan Fast: Okay. Thanks. That's helpful. And then I read recently that you expanded the distribution of one of your OEM lines just across a number of different locations, just given that the OEM was impressed with performance from Alta after you acquired that dealer. Do you see similar type of opportunities maybe across the platform?
Ryan Greenawalt: This is Ryan. I'll take that. Absolutely. When we expand our geographic territory, the first thing we look to do is bring some of our existing relationships into that territory. So we have more allied lines and start building out the product portfolio. So there are lots of examples of that. Florida where when we bought Flagler equipment, it was really just a pure Volvo dealership, and that's been a big focus over the last three years of bringing the rest of our lines to the Florida market and certainly parallels in the Material Handling side as well as some of the allied lines.
Tony Colucci: Yes, Brian, I would add too just to reference Canada here, good timing with you asking the question, but with YIT, the deal that we did in Toronto, Quebec in July of 2022. We're seeing great examples of that where we have relationships in the US with OEMs that sort of circle around the Hyster, Yale forklift product with allied lines that we've now signed up in Canada to kind of open wallet share, if you will, with customers there. So we've got very real-time kind of evidence of that.
Bryan Fast: Okay. Good. I appreciate the Canadian call out. I'll turn it back over.
Ryan Greenawalt: Thank you, Brian.
Operator: There are no more questions, so I'll pass the call back over to the management team for closing remarks.
Ryan Greenawalt : That concludes our prepared remarks. Thank you for joining us tonight. That's it from us.
Tony Colucci: Thank you
Operator: That concludes the conference call. Thank you for your participation. You may now disconnect your lines.